Operator: Good afternoon. Welcome everyone to BrasilAgro’s Third Quarter 2015 Results Conference Call. Today’s live webcast and presentation may be accessed through BrasilAgro’s website at www.brasil-agro.com. We would like to inform you that this event is recorded and all participants will be in a listen-only mode during the company’s presentation. After BrasilAgro’s remarks, there will be a question-and-answer session for analysts only. At that time further instructions will be given. [Operator Instructions]. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of BrasilAgro management and on information currently available to the company. They involve risks and uncertainties because they relate to future events and therefore depend on circumstances that may or may not occur. Investors should understand that conditions related to the macroeconomic scenario, industry and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now, I’ll turn the conference over to Mr. Julio Piza, Chief Executive Officer. Sir, you may begin your conference.
Julio Piza: Thank you. Thanks everyone for joining us on our third quarter conference call. We can move to page two of our presentation, so can begin. So the highlights, net revenues of over R$113 million for the nine months, R$19 million of net income, over R$8 million EBITDA. These are the highlights, I’m going to go over them in a second. But before the scenario on page three, this is soybean prices and dollar trend and reals and again start to see as a company about six months on the price. So, it’s pretty interesting for company. But interesting than actually the company is what we can see on page four. And this is quite an interesting analysis. The dark line is the price of the July 2015 soybean contract with reals managing this. CBOT price for July 2015 times the forward exchange rate on the reals. And this is positive behaving since a year-ago May 2014. So, we started with a very high level went down all the way to October, went up again and went down again and now we’re pretty much at the similar level we were before. So a great volatility but we were able as a company and this is reflected in the results to actually capture those high points. It is interesting to see that the lighter line, it is the soybean July 2016 [ph] and reals. And we started to put it in January and you can see that right now the expected price of soybeans in reals for July 2016 is actually higher than we’ve had on any given moment in time for the July 2015. The [indiscernible] great volatility but you have the right capital structure, access to the right instruments, you can actually hand yourself at a pretty decent level as we do this year and again even better for next year because we have a premium for next year based on the prices right now. So it is quite an interest scenario where a company that is well positioned can take advantage in the situation. So, we’re quite optimistic and looking into the scenario going forward. On page five, what’s happened on the last page that we saw based soybean prices in Brazil, land prices also reacted the same, probably growing at a stage that they were before, might be some adjustments in some regions as we’ve been saying the last few months but the market is particularly solid, a pretty tough environment. Let’s go to the operating performance on page six. This is overall picture for the planting. As we mentioned that in September and December, we’re very careful in selecting the areas because of tight margins. So, this is a final picture, probably a 1,000 hectors more than we announced at some point, final adjustments. We have over 80% of the soybean already harvested and a little bit of the corn. What we can see now of course by June 30 and when we discuss our year results, we then disclosed the whole information but we’re seeing above expected yields on soybeans, below expected yields on corn. The corn represents a little part of it. So it is a good, very solid operating performance. So, the mature average that we have are very, very well. We are having about 3.4, 3.5, 3.6 and 4 times per hector. So the mature and development areas are doing quite well and overall soybean always going to be a 4% to 5% of our expected budget. Of course Bahia hasn’t performed as well. So, even within Bahia, some of the oldest parts are performing and are holding pretty well. But overall, I would say Piaui and Paraguay are pretty much over performing, Bahia is underperforming from soybean. Sugarcane, of course when we look into the nine months results, we’re incorporating all the sugarcane we harvested last year, but already starting to this year. So, we started last week. The harvest for sugarcane is looking good. We had a phenomenal year on sugarcane on 2014. And we’re all pretty much excited that we’re going to have a year that is going to be as good as last one. Also we’ve mentioned about silo, it’s done, it’s working in Bahia. It’s helping to improve our operational efficiency tremendously. And also pretty much done this year a long-time tons of hectors of development. It is little bit large the other years which is expected given the situation, but we continue to do that. So it’s important that we keep on adding hectors to fit this. On page eight, in terms of the hedge position, over 85, almost 85% of the soybean already sold. I would call your attention to two things on this stage. Number one is that we hedged, our soybean price is significantly higher than current market conditions and the hedge on the currency is actually very close to the current conditions. Actually the spot price today is roughly 297 and now it’s to 291. So, we manage to capture very interesting combination there. For those who are on commercial side, this year came out quite well and we reduced [Technical Difficulty].
Operator: Pardon me, this is the conference operator. It appears that speaker location has disconnected. We’ll try and get that reconnected, so please stay on the phone. And we’ll get the speaker location reconnected as soon as we can. Thank you.
Julio Piza: We are on page eight, I was talking you about our commercial strategy regarding soybeans and exchange rate and they performed quite well, so price is above that of the market. And of course that is impacting our results such as the EBITDA and adjusted EBITDA on page nine. I would like to point that what we did here is put EBITDA that is in our financial statement. And we try to make it more similar to the operating performance of the company. So, we removed all the elements of biological assets that represent the future and now the present. And also we put back the derivatives that are related to the soybean and whatever our product that is accounted for on operational side. So we’re quite sure actually offer you the best perspectives from the managerial perspective. The year is coming aligned in the quarter. So we have R$6.1 million in third quarter adding up to R$8.4 million for the nine months, and bear in mind that we still have a significant portion of our soybean and corn we actually sold. So it is not reflected in the adjusted EBITDA as we’re seeing right now at the 8.4. So the bulk of the beans first corn for the sugarcane that is solid, are still to be accounted for year. So we expect this number to go out in this quarter. So overall we’re quite pleased with the result and the strong operational performance, the number is that already impact and of course the probably why it hasn’t -- the harvest in Paraguay started only in the first week of April, so we have no Paraguay’s impact in year but that of the last year’s. So, we’re quite pleased with the results. I think it shows the company getting stronger and stronger in the operational side. On page 10, income statement, of course it’s a reflection of what we just discussed. If you look back to what happened in the last couple of years, we also had the derivatives negative position before it has a higher operational return on income statement perspective and lower financial results and this year is the opposite, so we have very strong financial aligned financial result. The vast majority of it is related of course to all the derivatives position and also all of the receivables that we got from the farms, still around but of course as soybean prices went up are actually providing a positive results. On page 11, that’s our balance sheet, and always need to remember that we have our farms and property for investments and our run confident [ph] book value. So this tremendous value in year should to be captured as we sell those slots. In a nutshell, that’s what we had to tell you guys. So we can move to Q&A now.
Operator: [Operator Instructions]. The first question comes from Rodrigo Mugaburu with Morgan Stanley. Please go ahead.
Rodrigo Mugaburu: I wanted to ask quick question on silo. Are you planning to build another one or construct another one? And two, will be able to provide service to third-parties and monetize a little bit of that?
Julio Piza: You were too close to the microphone, it was very hard to understand you. I got that you are asking about the silo and if we are going to do another one, so could you please repeat?
Rodrigo Mugaburu: A follow-up to that question is would you be able to provide service to third-parties on the silos to receive grain from other farmers and receive a profit from that?
Julio Piza: I think in a very short term, we shouldn’t build any one, we can add a little bit more capacity to this one that we did in Bahia. That’s what we expect in the next few months. As for providing services, from a professional perspective, we built a somewhat different silo there that has a tremendous throughput. So yes, we could provide services to third-parties. We are thinking and deciding about doing that or not. We do have the possibility of doing so and the region is very poor in terms of this kind of service. So that could be interesting, but analyzing that I think because that it can be interesting but we had level of complexity and risks that you have to little bit careful before decide. But it definitely could be a possibility.
Operator: [Operator Instructions]. As there are no further questions this concludes our question-and-answer session. I will turn over to Mr. Julio Piza for final considerations. Mr. Piza, you may give your final considerations now.
Julio Piza: Thanks everyone for joining us. I think these are intermediate results for us. I think the full picture is going to come very clear in the next quarter with the annual our results. We’re really looking forward to it. I think it’s been great a year so far and do believe in the next quarter we’re going to bring a lot of good news for the company, heading up to very strong performance, both on operational and on real estate side. So see you guys in another quarter. Thanks.
Operator: This concludes today’s BrasilAgro’s third quarter 2015 results conference call. You may disconnect your lines at this time.